Operator: Good morning and thank you for calling the Polo Ralph Lauren Fourth Quarter Fiscal Year 2007 Earnings conference call. As a reminder, today’s conference is being recorded. All lines will be in a listen-only function during the presentation today and at the end of the presentation we will conduct a question and answer session. Instructions on how to ask a question will be given at that time. And now, for opening remarks and introductions, I would like to turn the conference over to Ms. Nancy Murray. Please go ahead.
Nancy Murray: Thank you and good morning, everyone. Thank you for joining us on our fourth quarter and full year 2007 conference call. Roger Farah, our President and COO, will give you an overview of the year and discuss some of our new initiatives, I will be on the call to highlight our fourth quarter performance, then Tracey Travis, our CFO, will take you through the details of the next year and our expectations. After that, we will open up the call for your questions. As you know, we’ll be making some forward-looking comments today, including our financial outlook. The principle risks that could cause our results to differ materially from our current expectations are detailed in our SEC filings. And now, let me turn the call to Roger.
Roger Farah: Thank you, Nancy, and good morning. This has been a spectacular year as we delivered results in excess of our plan, but consistent with our strategies. Our success has really been achieved through the consistent execution of our global strategies of: 1) expanding our direct-to-customer business; 2) growing our international businesses; and 3) developing new merchandise categories. Over the past five years, we have transformed our business model and our strong results affirm our execution. Just a few years ago, we were primarily a mens domestic wholesale and licensing business. Today, we operate more than 25 divisions that include mens and women’s and children’s wholesale, a growing 300 store specialty business, and we have a significant and fast-growing presence in Europe. We have diversified and expanded our products, price points, distribution and geographic regions. We have increasingly taken more aggressive control of our brand and at the same time been more selective regarding its distribution and positioning. This has resulted in a 30% increase in net income in the past year and a doubling of earnings in the past three years. We have accomplished this with a conservative balance sheet and have invested our significant cash flows back into our growing business. We have brought back appropriate licenses and we have used our financial strength to invest in new stores, new retail concepts and shop-within-shops. We have also invested in our infrastructure, including showrooms, office space to house our growing operation, and new technology to support our global business. We have continued to significantly increase our return on investment and our return on equity, and there is still much more to accomplish. We will continue to develop new products, elevate the merchandising and presentation of our luxury brand, expand our retail businesses and expand our brand internationally. We are pleased with how we are positioned and excited about the opportunities we have in the next three to five years. Fiscal year ’08 will be a transition year based on the number of new opportunities we have identified, but they will positively impact us in fiscal ’09. And as I mentioned earlier, our strategy is consistent and one that has proven results. Our ongoing investments in new stores have been an important part of our direct-to-consumer initiative. We are encouraged by our European business, which is performing well, and with the strength of our U.S. portfolio of stores. We began fiscal year ’08 with two licensed stores launched in Moscow. The stores have been well received by the Russian customer who has embraced not only the luxury apparel, but our expanded offering of accessories. We believe our Internet business will be an important part of our growth in our retail segment. We acquired the remaining 50% interest of RL Media from NBC to really position us for the future growth. And now that that business is fully owned, we will integrate their operation with our global retail businesses. To support these growing businesses, we have invested in a distribution center and a new customer service center that is scaleable for future needs; both domestically and internationally. The center is coming online in November and will fully transition our fulfillment operations to a new center by April 2008. We have begun the exploration of international opportunities for RL Media and we believe it will be a large growth initiative in the future. We have been developing an infrastructure that allows us to successfully run a global business and we have changed our business model from one that internationally was mostly licensed to one that is more directly operated. Since acquiring our European business seven years ago, we have made great progress in the business in how the brand is presented and in the process realized in that region. Europe now represents nearly $900 million in sales and is our fastest-growing geographic region. We’re using our success there as a template for our Japanese business. Now that we have successfully completed our Japanese transaction, we’ll begin to execute on our long-term initiatives that are consistent with how we operate our business worldwide. We will elevate the brand through product assortment and presentation that support our luxury positions around the world. We will refine our distribution in key locations and we’ll look to selectively expand our portfolio of Ralph Lauren stores that best showcases Ralph’s vision. In addition, we’ll continue to look at opportunities to expand our advertising and marketing messages, which are consistent with our global view and we will invest in talent and new development in the Japanese markets. All of this will be integrated with our world-class infrastructure. Japan is an important country for our brand as it represents the second largest area of sales outside the United States, and we are currently reviewing the other Japanese licenses that expire in February ’08. We also see it as an important stepping stone to growing our business throughout Asia and the Pacific Rim. As we continue to successfully develop new categories of merchandise, it’s what makes us unique in our ability to take Ralph Lauren’s design direction and interpret it through multiple lifestyles. Our Lauren business, which we took back four years ago, is the number one brand in its category and continues to have strong retail sell-through. Our childrenswear business, an important category we brought back in 2004, has also delivered strong global results. Our more recent denim acquisition is in the early stages of development. Early this year we launched our Lauren and men’s denim initiatives. Early response has been positive, and our retailers’ responds to our current fall denim market was strong as we thoughtfully bring this category into the domestic department and specialty stores. We believe this category represents enormous global opportunities for all the brands in the world of Ralph Lauren. We will launch dresses in spring 2008 in Lauren Chaps and in the new American Living brand as important classification extensions of those brands. Over the past two years, we have added and expanded key categories to our growing luxury accessory business. We began our development of this business with our footwear acquisition. And while this business requires a longer rehab (inaudible) some of our other license buybacks, we continue to believe it has tremendous long-term growth. We signed a new partnership for eyewear in the past year with Luxottica, a company with the global reach appropriate for our company. The new optical and sun products are beginning to ship to Ralph Lauren stores and Luxottica retail portfolio and we are pleased with the assortment. In early February, we formed the Ralph Lauren Watch & Jewelry Company, a joint venture with Richemont. This is our first expansion into the precious jewelry and luxury watch business, which we believe will be a growing and important aspect of our global accessory businesses. The first products will launch in fall of 2008 in selected Ralph Lauren stores as well as independent jewelry and luxury watch retailers worldwide. We also recently acquired our small Leathergoods business to better build this category of business across multiple price points, from exclusive Collection pieces to American Living. And our handbag license expires at the end of calendar 2007 and we anticipate bringing that category in-house at the close of this year. At that point we will have direct control over the major accessory businesses and would expect to see an integrated push on a global basis. We also began executing our channel diversification strategy two years ago with the launch of Chaps products for Kohls. In addition to our successful mens, women’s and children’s Chaps businesses, we recently launched our Chaps home business earlier this month. The customer is responding very well to our fashion offerings and we are pleased with the first phase of our growing home business in this channel. In addition to the textile category, we also added Chaps women’s plus sizes to the offering at Kohls, which has had a very strong retail sell-through. And we see more categories to launch in this fiscal year. We’ll add bath accessories and fashion table linens this fall with table tops the following spring of ’08. In apparel, we’ll launch Chaps newborns and layette childrenswear this fall and Chaps women’s petite in spring of 2008. We continue to gain expertise in this broad-based distribution channel, both from a product standpoint as we now have more than 50 merchandise categories under the Chaps brand as well as operationally and logistics marketing and in-store presentation. We believe this experience will serve us well as we undertake our most ambitious launch with the premier of American Living at J.C. Penney in spring of 2008. Our first initiative of Global Brand Concepts group, American Living, is a major undertaking this year. The launch for men’s, women’s, children’s, to accessory and home is slated to be the largest brand launch in J.C. Penny history. We will design, manufacturer and ship products for spring 2008 to approximately 600 doors. We will also control and direct the brand’s marketing, imaging and in-store presentation. And we are broadening our merchandise categories for American Living from our original plan. In the next two years, we will launch more than 50 categories of men’s and women’s apparel, accessories, children’s and home. So we continue to see new opportunities in each of our key strategies and will continue to support them with the appropriate resources to deliver increased sales and profits. We are excited about these new initiatives and diverse opportunities. While they will have a short-term impact on earnings, I believe they are important additions to support our growth for the next five years. We also are well aware that our company has numerous initiatives we are executing concurrently in multiple geographies, and Ralph and I believe we have the right management team in place to execute on these ambitious plans over the next couple of years. We also wanted to welcome our newest board member, Bob Wright. He brings a wealth of knowledge to our board and we know he’ll make a meaningful contribution. So on many levels, 2007 represents a milestone for our company. We celebrated our 40th anniversary this year and our 10th year anniversary as a public company. The brand has never been healthier and our opportunities for growth remain strong. In closing, our year’s results and the significant accomplishments over the past few years would not be possible without the talented employees of Polo Ralph Lauren. Ralph and I would like to thank the 14,000 worldwide employees for their work and dedication as they continue to deliver the brand message on a global basis and strong results. So at this point, I would like to turn it back to Nancy to discuss the details of the fourth quarter.
Nancy Murray: Thank you, Roger. So let me just highlight the drivers of our fourth quarter performance. For the quarter, we achieved consolidated revenues of $1 billion and that represents an increase of 6% over the prior year’s period, or a 5% increase excluding the effects of the Polo Jeans transaction, which we acquired in the fourth quarter of last year. Revenues increased as a result of the strength of the brand in Europe as well as domestic gains in childrenswear, menswear and Lauren, and a 6.3% comp store increase in our retail segment. These increases were slightly offset by an 11% decrease in licensing royalty due to the elimination of Polo Jeans in this year’s results because of an acquisition, and a decline in eyewear royalties due to the transition to a new licensee. Our gross profit dollars increased 6% to $558 million and our gross profit rate improved ten basis points to 54.1%, and that’s as a result of improved merchandise margins across the wholesale businesses, slightly offset by licensing royalty reduction. Our fourth quarter expenses increased 7% due to $7 million of incremental stock compensation expenses, higher selling costs due to higher retail sales, and investments in new businesses such as men’s and women’s denim during the quarter. Our operating income increased 4% to $120 million, while operating margin decreased 30 basis points compared to last year as a result of the investments in our new growth initiative. Our net income increased 17% and that’s as a result of the 4% increase in operating income. And our tax rate was 410 basis points lower than last year, and that’s as a result of changes related to the quarterly refinement of our effective tax rate for the full year. As a result, we reported earnings this morning per share of $0.68 for the fourth quarter and that compares to $0.58 last year. Let me just spend a few moments now on our segment highlights. Our wholesale sales grew 10% to $629 million or 7% growth excluding the Jeans acquisition. Our wholesale operating income increased 10% to $139 million as a result of improved merchandise margins and expense management in men’s, children’s in Europe, and that was partially offset by our expense investments in denim, dresses and American Living, as well as lower operating profits in our footwear business as we continue to realign that category. For our retail group sales increased 3% to $346 million with a 6.3% increase in comp store sales comprised of a 6.7% increase at Ralph Lauren stores, 6.3% at factory stores, and 5.3% comp at Club Monaco. Ralph Lauren Media sales were up 27% over the comparable period. However, on a reported basis, Polo.com sales were down 32% due to the impact of conforming Polo.com’s fiscal year in the fourth quarter last year. Retail had an operating loss of $2 million for the fourth quarter compared to an operating income of $1 million the prior year. If you exclude the favorable effect last year of conforming Polo.com’s fiscal year, retail would have incurred a $6 million loss in the fourth quarter of last year. Licensing royalties for the quarter were $56 million and that represents an 11% decrease as a result of the loss of Polo Jeans royalties this year as we now own that business, the transition of our new eyewear licensee to Luxottica and ongoing softness in major home categories. And now, let me turn the call to Tracey who’s going to discuss our recent investments and their impact on our current year outlook.
Tracey Travis: Thank you, Nancy. Good morning, everyone. As Roger said, the fiscal 2007 results we announced this morning are an affirmation of the successful execution of our business strategy over the past few years. We grew revenues double-digit for the full year 2007 at 15% and drove a 140 basis point improvement in operating margin through both expansion of our gross margin across all product categories and leveraging of expenses. We accomplished these results with outstanding performance in our core wholesale and retail businesses while expanding our Chaps product lines in Kohls as Roger mentioned, continuing to reposition our footwear and denim product lines, and continuing to evolve the Rugby store concept. And we also began, as Roger indicated, to position ourselves for even greater growth in the future by beginning to invest resources and newer product categories like Global Brand Concepts via American Living, dresses, expanded luxury accessories via small Leathergoods, and luxury watches and fine jewelry via our Richemont joint venture. Our global expansion beyond our European business where we have experienced tremendous improvements in profit growth and cash return to our shareholders began first with our investment in our own retail store in Japan, (inaudible), and culminate in the successful tender offer to acquire our Impact 21 Japan sub-licensee and the acquisition of New Polo Japan, our master licensee. Building the business as we have done over the past few years has generated significant increases in our operating cash flow, which we have used to fund acquisitions, support the capital needs of our business, and more recently repurchase our own stock. During the fourth quarter, we invested $80 million in capital expenditures; completed our acquisition of the remaining 50% equity interest in RL Media, Ralph Lauren Media, for $175 million, or Polo.com as we refer to it; repurchased approximately 500,000 shares of stock for $40 million; and we ended the fourth quarter with $564 million in cash or $165 million of cash net of debt. Our historical investments have generated an aggregate return on investment of 32% as of the end of fiscal year 2007. And subsequent to the quarter’s end, we successfully completed the tender offer for shares of Impact 21 and New Polo Japan, our master licensee for an expected combined funding of $150 million to $170 million net of cash acquired in the transaction. Because of our recent business developments subsequent to when we gave you our initial fiscal 2008 guidance in February, and as we promised when we announced those transactions, I want to provide you with an updated outlook for the year, including the impact of these transactions. First, let me state that there has been no change in the fiscal 2008 base projections for our core business since February. As you can see from our fourth quarter results, the trend of the business is very strong. Since the guidance was announced, and as you are aware, the company has announced several acquisitions, which are accretive beyond fiscal 2008, but are expected to result in high non-cash amortization expense in the current year. At the risk of repeating myself, I will list those transactions for you now, the first being the acquisition of 50% of RL Media, the company’s Internet site not previously owned; the acquisition of Polo Ralph Lauren Leathergoods, or New Campaign as it was previously referred to; the acquisition via tender offer for the outstanding shares of Impact 21, the company’s Japanese sub-licensee and the acquisition of 50% of New Polo Japan, the company’s master licensee in Japan. And while all of these transactions are supporting the future growth of the company and are expected to be net accretive to earnings post fiscal 2008, the net impact related to the non-cash amortization expense associated with the purchase accounting for these transactions is expected to have a dilutive effect on the current fiscal 2008 reported earnings per share of approximately $0.27. Accordingly, we are revising our initial guidance for the year to be in the range of $3.70 to $3.80 per share to reflect this non-cash amortization impact. The majority of the short-term purchase accounting impact the first three quarters of fiscal 2008, due to the allocation of the excess purchase price to shorter-term items like inventory. This guidance reflects expectations of revenue to increase mid-teen percentage with wholesale sales growing high-teen percentage, retail growing low-teen percentage, and licensing royalty decreasing by low-teen percentage. As a result of the above mentioned investments, operating margins are expected to decrease approximately 200 basis points compared to fiscal 2007, but resume expansion in fiscal 2009. The tax rate is estimated to be 38% for the year, but it’s subject to change once the company’s assessment of FIN48 is complete. Diluted shares outstanding are expected to be 109 million. The company plans to invest approximately $240 million in capital expenditures in fiscal 2008 to support our growth initiatives, including the build-out of a new leased RL Media distribution facility in North Carolina and expansion of our retail stores via Net 24 to 316 stores from 292 stores at the end of fiscal 2007. For the first quarter, we expect consolidated revenues to increase mid-teen percentage. This reflects high-teen percentage growth in wholesale, low-teen percentage growth in retail, and mid single-digit growth in licensing. Operating margins are expected to decrease approximately 50 basis points. Although these investments represent near-term dilution in startup phase, we expect the transactions I discussed to be not only accretive, but strong contributors to our growth as early as fiscal 2007. Our previous investments in Europe, Lauren and childrenswear, combined with our core business performances have generated great returns for our shareholders and we look forward to updating you on these new investments as the year progresses. With that, I’ll turn the call back to Roger for questions.
Nancy Murray: Operator, I think we’re ready for the question and answers.
Operator: Thank you. (Operator instructions) We’ll take our first question from Omar Saad with Credit Suisse. Please go ahead.
Omar Saad - Credit Suisse: Thanks. Good morning.
Roger Farah: Good morning.
Omar Saad - Credit Suisse: Roger, I was hoping you could give us an update on the retail strategy. It looks like your net store openings were relatively flat last year and it looks like you’re going to accelerate the net openings this year. Is there any change in the strategy in terms of you looking at the retail portfolio across the different concepts and how you’re thinking about it for this year and beyond?
Roger Farah: Omar, I think last year’s net number is a little misleading because in the year we closed all of the Polo Jeans outlet stores, there were ten or eleven of those, as we exited that business. Domestically we closed the outlets, and as you know, we closed all of the outlets in Club Monaco and the Coban stores. So there was sort of an unusual amount of closing out those concepts that we did not want to pursue, which netted down the store opening number. In terms of the go-forward position, I think we’re very excited about the kind of real estate we’re seeing, really on a global basis, and the kind of reaction we’re getting from customers. I briefly talked about the opening in Moscow, which is a license, I know, but it really speaks to the appetite of the customer for our luxury products. We actually opened that main store there with accessories as the entire main floor, women’s as the second floor and men’s on the third floor, which as you know for us is an unusual way to do it, and the overwhelming reaction we got from the customers there for accessories and women’s really reinforced the growing expertise we have in that category. So I think we’ll continue to look to grow the 25 to 30 stores we have on the board for this year. That’s spread out over Ralph Lauren Stores globally as well as Rugby. And I think at the moment we’re seeing the pipeline of deals that we need. I don’t think you’ll see anywhere close to that kind of closure this year, so the true net should be very different than fiscal 2007.
Omar Saad - Credit Suisse: Great. If I could follow up on a slightly different vein, some of the other branded apparel vendors out there have run into problems in the moderate channel and faced some difficulties there. What do you think has been the key to your success with the Chaps business and that’s given you confidence for the American Living rollout in an area where traditionally there has been a little bit more of a struggle for the vendors to really develop a product offering and a brand that resonates with the consumer and the retailer as well?
 Roger Farah: I think it’s a terrific question, because as you read the comps and you read the last couple years, certainly that channel is growing rather dramatically, and the amount of stores that are being added by both Kohls and Penney’s is pretty amazing. I think it comes down to one simple thing, Omar, which is what I would call great product. Great product wins. Having been a retailer most of my life, you can talk about brands, you can talk about private label, and at the end of the day the one thing a retailer needs when they’re running 100,000 square foot stores and up is great product. And I think our Chaps products and the categories that we directly handle has been outstanding. I think the early product we’ve seen that Ralph and team are working very hard at, at American Living, is going to be unbelievable. And I think having the clarity of a brand in a store and that relationship has worked to our advantage. So, in the current success with Kohls, their appetite for us to do new merchandise categories, expand distribution is supported by terrific sell through, and I think that comes from a great product. I think when the J.C. Penney merchants come in in August to see the product presented to them in a fully integrated fashion in New York, I think they’re going to be overwhelmed with not only the look but the quality for the price that we’ve been able to engineer and deliver. So, I think it comes back to great product.
Omar Saad - Credit Suisse: Do you begin shipping American Living this year in the third or the fourth quarter?
Roger Farah: We begin shipping it in our fourth quarter, which just to remind you is January/February.
Omar Saad - Credit Suisse: Thank you very much.
Roger Farah: Okay, thanks, Omar.
Operator: And we’ll take our next question from Margaret Mager with Goldman Sachs. Please go ahead.
Margaret Mager - Goldman Sachs: Hi, it’s Margaret. Congratulations on ten years as a public company.
Roger Farah: Yes, there you go. Thanks, Margaret. We’re popping the ginger-ale right now as we speak.
Margaret Mager - Goldman Sachs: Yes, it’s been an eventful decade, that’s for sure. Let me ask a question. Can you talk a little bit about the Global Brand Concepts business, who is the team there; how are you tackling a launch on so many fronts across multiple product categories? If you could just talk about the staffing and the process, and how it differs from what you’re doing with Kohls. Then I have a couple of follow ups. Thanks.
Roger Farah: Okay, well, the Global Brand Concepts, which when we announced it we, quite frankly, were overwhelmed by the number of people calling to find out more about it and find out how they could participate. In the end, as we’ve said, we’ve chosen to focus on the J.C. Penney launch as our first initiative and as I said earlier, 50 merchandize categories is a daunting task. So at the moment, we are organized, really for the core wholesale teams and the core design teams, to be developing the initial product and the initial resources are really just supplements to that core team. As well as the manufacturing group, as well as logistics and distribution, as well as advertising. We are trying to get a little bit of that DNA into the launch. I think over time, as we look to take on perhaps other concepts under that heading, we’ll probably have to separate and pull those groups out and continue to add resources depending on the level of the projects. So at the moment, it’s sort of everybody’s working hard plus some incremental costs in each of the major support groups, in each of the major manufacturing groups. And then once we launch, we’ll look to backfill behind it.
Margaret Mager - Goldman Sachs: Is there a head of the Global Brands segment, besides Jackie?
Roger Farah: Ralph, Jackie, me, everybody. We all have a lot invested in making sure this is right. I think we had a lot on our plate in Japan and some of the other things we’ve articulated, but certainly this one, to launch hopefully on a day 600 of the best J.C. Penney’s across this many product categories is kind of an interesting challenge. And I think the experienced team we have is deep into it and feeling pretty good about where we are.
Margaret Mager - Goldman Sachs: Could you talk a little bit about your business with Federated? I know it’s about 17% of your total company revenues. What’s happening there? How should we be thinking about your business opportunity with them going forward? Then I’d also like to ask about April same store sales for your retail segment, will there be any drag on your first fiscal quarter of ’08 because April was such a difficult month broadly at retail? Thanks.
Roger Farah: Let me start with the last first. Really, April and May are tracking consistent with our prior trends, so there’s really no new news to report. I did see that April in general was a difficult month around and I read all the reasons why, but at this point we didn’t experience that. And through the first two months of our three month first quarter, we’re tracking consistent with prior trends. In terms of the Federated business, it’s been an interesting journey over the last two years – the renaming of the stores and the transformation of the merchandise and marketing strategies, not without some prediction, has been challenging and I think that’s to be expected. I think we continue to believe that they will work their way through the issues of transition and the strategies will be adjusted and the national strategy will roll out successfully. As our business with them is very carefully planned by door, by location, down to the assortment and SKU level, we’re very active participants in each of our major categories – men’s, women’s, children’s, etc. So we’ve continued to perform well at Federated. We are clearly the lead brand in each of the major merchandise categories. We are in regular contact with the senior leadership of Federated to make sure we’re on top of developments and strategies. I think the home business there as been reported has been more problematic. The combination of the centralization shortly followed by the May Company acquisition has put that business under some pressure, which has put our home business under some pressure. But I think they’re going to come through the backside of that and we will be a recipient of that newly constituted national brand. So working hand-in-hand together, I think we’re getting through it.
Margaret Mager - Goldman Sachs: Last question, any goal you want to share on your operating margins, either looking out over the next couple of years?
Roger Farah: Well, I think we’ve talked about a year ago or so, Margaret, we thought there were a couple hundred basis points still to go, and I don’t think the non-cash amortization charge really influences that at all. That’s an accounting issue as a result of the acquisition. I think that the base businesses, I think you’ve seen a tremendous improvement in our retail margins, where we’ve gotten through our goals and beyond and we continue to see upside; the tremendous improvement of our wholesale businesses, even with the lower margin addition of denim and footwear in the last year or two; the acceleration of our growth in Europe and what we hope to be a template for Japan, I think we have margin expansion once you look through the non-cash charges in a meaningful way. I think we’re all focused on it. I don’t think the global brand will deter us from getting there. I think they’ll be a meaningful contributor. So at this point, we still feel pretty bullish about the margin upside excluding some of these non-cash amortization charges.
Margaret Mager - Goldman Sachs: Okay. Well, enjoy your 40th anniversary and all the best in the next decade as a public company.
Roger Farah: Thank you.
Margaret Mager - Goldman Sachs: Okay, take care.
Operator: And we’ll take our next question from Virginia Genereux of Merrill Lynch.
Virginia Genereux - Merrill Lynch: Thank you. First, maybe Tracey, may I ask, you talked about $47 million in amortization, if I kind of quantified that $0.27 amortization related to purchase accounting. When did that fall off (inaudible)?
Tracey Travis: That’s a good question. That is a net number, Virginia, so that includes the incremental profit related to the new businesses offset by the amortization. That’s what the $0.27 after tax represents from an EPS perspective. We expect that the purchase price amortization impact year-over-year change, and again, the Japan purchase price allocation is very preliminary at this point in time, it has not been finalized, but we expect a swing of $0.25 per share; very early estimates between fiscal ’08 and fiscal ’09. So you’ll see a dramatic difference in fiscal ’09.
Virginia Genereux - Merrill Lynch: You’ll basically get back to zero, get back to sort of a net kind of zero contribution?
Tracey Travis: No. There will still be some purchase accounting related to the transactions, but it will be significantly less, and both Japan and Ralph Lauren Media will be accretive to earnings in fiscal ’09.
Virginia Genereux - Merrill Lynch: Okay. Sort of following on that, I guess looking at the Impact 21, their last sort of annual, which is a fiscal ’06, I think, filing, Tracey, that business kind of loosely translated to dollars was generating over $40 million in EBIT. Are the purchase accounting charges so great that you’re more than offsetting that from a dilution perspective?
Tracey Travis: Again, our fiscal ’08 project for Impact 21 and New Polo Japan are different, obviously, than what they reported last year. But yes, the purchase accounting impact is fairly significant for Japan.
Virginia Genereux - Merrill Lynch: Is it fair, if I look at, Roger, I know you guys said you were going to invest in it and you’ve done a great job with this historically, if I look at Japan as sort of a $500 million wholesale business, maybe trending a little less than that today, but that that should be as Europe has been for you an earnings opportunity that approaches high-teens operating margins, maybe better over time, over a couple of years? Is that fair?
Roger Farah: Yes.
Virginia Genereux - Merrill Lynch: Great, Roger. And then following up on Margaret’s margin question, it looks, Tracey, your operating margins this year were 15.2%, they’re going to be down 200 bips fiscal ’08, it looks like about half of that was related to the acquisitions and the purchase accounting. So the core business, core margins are still probably down 100 bips. I would say a lot of that’s mix with less licensing. When, Roger, you say you see margin opportunity, you see margin opportunity beyond the trailing 15.2%, that we’ll sort of get back over the coming years.
Roger Farah: Yes, I think that if you take the 15.2%, Virginia, to sort of refrain your question, as this year’s number, I think we have an opportunity to go well beyond that and I would discount the 200 basis point number that we spoke about for this year. Because not only does it include the purchase price accounting, it includes the startup of a fairly serious business, several serious businesses that don’t have revenue till the last month of the year. So if you look at the core, apples to apples, businesses that we’ve had, those businesses actually will develop margin improvement this year. It’s the addition of the American Living and all the startups that we’ve talked about, and the startup of watches and fine jewelry and some of the other initiatives that bring with it some expenses, but don’t bring with it any revenue until far fiscal ’09. So I think if you take the 15.2% as a base, I think we all feel very confident that we should be experiencing post this year margins that begin to grow on top of that.
Virginia Genereux - Merrill Lynch: That’s great. Very well put. Lastly, following on Omar’s question, did you say, Roger, are you accelerating the door growth, the retail door growth in fiscal ’09?
Roger Farah: No, I just said that the net number that we had in ’07 was impacted by our decision to close Polo Jeans stores and close the Club Monaco (inaudible) and Coban, so we netted to a smaller number. The incremental stores will eventually grow, because we’re now hitting Japan and Asia, we’re looking to expand in Europe aggressively, but ’09 real estate is already deep into discussion. You have to be at least a full year out. I think if you’re talking about sheer door count, it would probably be 2010 and beyond.
Virginia Genereux - Merrill Lynch: Okay, so for fiscal ’08, fiscal ’09, we shouldn’t assume the acceleration and the door growth relative to kind of trend?
Roger Farah: Right.
Virginia Genereux - Merrill Lynch: Thanks so much. Great job.
Operator: And we’ll take our next question from Robby Ohmes with Banc of America Securities.
Robby Ohmes - Banc of America Securities: Thanks, just a couple of quick followup questions. Tracey, can you give us just the total amortization or sort of a rough range of the total amortization?
Tracey Travis: In terms of the purchase price amortization, again, it’s preliminary for Japan, pretty final for Ralph Lauren Media. The accumulative amount in fiscal ’08 is roughly $60 million. And that also includes a small amount for Ralph Lauren Leathergoods, New Campaign.
Robby Ohmes - Banc of America Securities: Got you. So ex amortization, everything you acquired is neutral to accretive in fiscal ’08?
Tracey Travis: That’s correct.
Robby Ohmes - Banc of America Securities: When you look at that $60 million rough amortization, what was the largest driver to that? Was it the master license or was it RL Media or was it Impact 21? Was there one that was dramatically more significant to driving that?
Tracey Travis: Well, it was the Japan transaction and it was Impact 21.
Robby Ohmes - Banc of America Securities: Great. Last question also on Japan, I think, Roger, you mentioned at the beginning of the call that February ’08 the other Japanese licenses expire, can you remind us what’s out there and how much in revenues is associated with what’s expiring that you don’t own right now?
Roger Farah: Sure. All the rest of the licenses we did not acquire expire concurrently in February 2008. So that’s about seven to eight months away. That’s about $190 million in sales. The bulk of that is in the kids business, in the golf business, in the hosiery business and in the home business, and there’s some smaller ones do expire in the next eight months. So we’re exploring right now those categories and have not come to a final conclusion, but obviously our investment in Japan is real and serious, and is not limited to just Impact 21.
Robby Ohmes - Banc of America Securities: Terrific. Thanks a lot.
Roger Farah: You’re welcome.
Operator: We’ll move on to our next question from Bob Drbul with Lehman Brothers.
Bob Drbul - Lehman Brothers: Good morning. Just a couple of questions. Can you talk about the level of investment in marketing/advertising across the U.S., Europe and in Asia, and sort of how they vary and the trends on the investments that you have planned?
Roger Farah: That’s a good question, Bob. I don’t have the raw numbers in front of me. I think it’s fair to say that, at least in the United States and in Europe over the last three years, we have incrementally added to our advertising and marketing at a more accelerated rate than our sales. So we have added, as a percent to sales, advertising and marketing and I think it’s really worked to our advantage. Because I think as others have pulled back or used marketing and advertising as an easy way to govern expenses, we’ve made the commitment to continue to find savings operationally around the company that we can reinvest back into advertising. I think that we’ve more than doubled in three years the investment in Europe. So as a percent to sales, we are now tracking much closer to other luxury brands in that marketplace. And I think we’re going to have to look at the investment spend level in Asia, either in Japan where we’ve made a significant investment or in fact in other license territories and work with our partners to look to elevate there. I think it’s particularly relevant that you talk about the broad-based commitment to our accessory business and all the initiatives we’ve done to bring in-house all the major parts there. We think that that business will require advertising and marketing. So, we continue to add, we’ve added aggressively in Europe and I think today are spend levels are very appropriate given the size and growth of our business. But we have found savings in other parts of the company in order to fund incremental spend in brand building, imaging and business-getting. I also would not be responsible if I didn’t tell you that I think the Internet has been a huge marketing tool for us; although it’s absolutely been a (inaudible) both in sales and profits. But I think today, there’s a lot of talk about how people are getting their information and how they’re making decisions. I think if you haven’t spent time on our Ralphlauren.com site, you should. It’s a wonderful branding and marketing tool and a customer acquisition tool, as well as a commerce site. And I think as we talk about making an investment in that on an international basis, it will be one of our weapons in terms of how we push the businesses out globally.
Bob Drbul - Lehman Brothers: In Japan, just two questions, can you talk a little bit and elaborate upon the opportunity to partner with the wholesale businesses there and your opportunity for freestanding stores in terms of where you see the potential for that business?
Roger Farah: Sure. The Japanese business today is made up mostly of wholesale business. There’s about 280 doors in Japan that do the bulk of the business. Now, within each door, we could have a men’s shop and a women’s shop and a kid’s shop, so we have a lot more doors, a lot more shops than 280. But there are 280 major doors of distribution in a fairly tight geographic region, which means the productivity per door is extraordinarily high, even in what would be called BNC doors. So we believe that the opportunity to upgrade, expand or relocate those doors, the ability to remerchandise and retrain the sales staff can be incredibly productive given the very high sales per square foot that those doors already achieve. I’ll contrast that with Europe where we have over 2,000 points of distribution, many specialty doors, obviously, included. So the opportunity in Japan is to work with those individual partners and distinguish and distort our presentations. When I was there with Scott Bowman for the completion of the deal, we met with every single CEO of every major retailer in Japan the morning after just to make sure that everybody was aligned with the strategy and where we’re going, and I know we’ll be spending a lot of time there getting that organized. Separately, the marketplace is more and more beginning to accept standalone brands or designer stores. As Tracey alluded to, our Amante de Santos store, which was a store we launched the end of March last year, is really the beginning of what we think can be an important retail expansion that complements the wholesale business in that community. And I think you’ll see more and more we’ll look to work the two in concert, not only in Japan, but around the world.
Bob Drbul - Lehman Brothers: Thank you.
Roger Farah: Thank you, Bob.
Operator: We’ll take our next question from David Glick with Buckingham Research.
David Glick - Buckingham Research: Good morning. The handbag business, it sounds like you’re getting it back at the end of this year. I assume as you’ve built up your accessory business for your own source at the higher end that you’ve been anticipating this day coming. I just wondered, how much of your infrastructure have you built for a handbag rollout? Can you give us a sense of the timing and the scale of entering in that business? I’m assuming you’re going to be taking it back in-house, we confirmed that assumption. Just give us a sense of how quickly you can ramp up in this business.
Roger Farah: Okay, David. I think with the license that’s due to expire in about six months, I think we have made the decision to bring that in-house. I think what we’ve learned about the manufacturing and the support of this business through the footwear acquisition, what we’ll learn through the small Leathergoods and Belt acquisition, I think this is another piece of the puzzle. It’s obviously been a huge merchandise category for luxury companies for the last ten or fifteen years. We think we’ve made nice progress on the luxury side. Anecdotally, for what it’s worth, we’ve sold 15 Ricci bags over $20,000 opening day in our Moscow store, which is a staggering number given it’s an 8,000 square foot store. So the appetite at the high end is beginning to build and we’re very excited about that, and we have an organization that is in place that has developed the expertise from a design and manufacturing point of view. I think the expiration of the existing license gives us an opportunity to build on that business and then explore the various handbag price points and distribution channels that could be available to us that was more difficult through the licensing partnership. So, I think more to follow. Lots of opportunity in all of accessories, but as you know, particularly handbags, and I think we’ll see that playing out into the future years.
David Glick - Buckingham Research: So obviously the department store channel, the Federated’s of the world would certainly be one of those targets?
Roger Farah: Yes. I think that our point of view would be not unlike footwear. Lauren and the brand should have the appropriate Leathergoods assortment, whether it’s footwear, whether it’s more Leathergoods, whether it’s belts, or whether it’s handbag, and I think that’s the channel that will receive it the best and they’re anxious for us to get after it.
David Glick - Buckingham Research: So spring of ’08 wouldn’t be out of the question?
Roger Farah: It might be a little quick. I think at this point we have a lot on our plate, as we’ve spent a lot of time this morning discussing, but we’ll get after it appropriately and with our best effort as soon as possible.
David Glick - Buckingham Research: Great. Any other color you could give us on the footwear business, some of the challenges you’ve been facing there and some of the repositioning or corrective action you’ve been taking?
Roger Farah: Sure. The footwear business that we bought back was almost entirely off price and discount and we had to clean that up. We had developed the sourcing and manufacturing strategies, and then the initial executive hire we made turned out to be not a good one and we had to change direction and move forward with some new leadership that’s working extremely well at this point. So, we’re excited about where it’s going. We’ll see how it unfolds over the next couple of seasons, but it’s a huge merchandise category. It never ceases to amaze me when I walk through stores around the world, whether it was Moscow or stores in Europe, the busiest departments continue to be the women’s footwear department. So there seems to be almost an insatiable appetite for that merchandise category and we expect to play in a serious way.
David Glick - Buckingham Research: And certainly, getting into the handbag business won’t hurt that dynamic. You look at what Coach is doing in footwear along with handbags, do you see that as helping you?
Roger Farah: Well, I think there’s always been a coordination with handbag and footwear businesses, probably merchandised. So I think getting those aligned from a design, from a product point of view, from a quality point of view, advertising and marketing point of view will help both businesses.
David Glick - Buckingham Research: Thanks very much. Good luck.
Roger Farah: Okay.
Operator: We’ll take our next question from Melissa Otto with W.R. Hambrecht. Please go ahead.
Melissa Otto - W.R. Hambrecht: Good morning. Most of my questions have been answered, but I did have a couple of quick followups on the Japan business. It would be great to just kind of get a snapshot in terms of your vision for how we should imagine that business to evolve over the next two years.
Roger Farah: Well, the next two years, Melissa, I would say that with the transaction just complete we’re beginning the indoctrination period, getting to know the details of that business and orienting them directly to Polo Ralph Lauren. I met many of the key executives there and they’re all very excited about the change in ownership structure and our desire to invest and grow that business. I think it will follow a similar pattern to what we saw in Europe, which was a license business for many, many years. When we acquired it in 2000, we had a much more difficult challenge because we had to consolidate that into one central office in Geneva; very different than regional offices spread out. In Japan, part of what we’re acquiring is the ongoing business, the ongoing infrastructure. We think we have some ideas on how to improve that. But more importantly, it’s really what the customer sees, so we want to make sure the product assortment for next spring, where we’ll have an active role, the training and the presentation of product next spring, where we have an active role will begin to reflect more consistent execution of our global strategy. We think the customer will respond. Where we’ve had an active hand in some of the big doors in the last year or two, just by over-managing the licensee, we’ve seen positive results from the customer. So we’re encouraged. We will then begin to look to supplement the group over there with some extra talent and look to elevate and enhance the marketing and advertising. So it’s not a dissimilar exercise to what went on in Europe, and I think the potential is enormous.
Melissa Otto - W.R. Hambrecht: That’s great. In terms of the doors, do you see within the next year or so entering new department stores, aggressively going into secondary and tertiary cities? Could you give a little bit more color in terms of the door strategy?
Roger Farah: Well, I think the focus for the next couple of years will be to enhance the doors we’re in. I think that is where the bulk of the business is. Today it’s done in Japan. I think as we toured the stores there’s some good ones and then there’s some ones that need work. I can’t overstate the sales per square foot productivity. And when your time and energy is invested in a door doing $1,000 a foot versus a door in the United States that’s doing $150 a foot, the upside is enormous. A 10% increase is $1,000 perhaps in a door doing $1 million where in the United States it could be $15,000 or $20,000. So, really leveraging the existing doors will be the key and then beginning to find and identify the right real estate for standalone retail in complement to that, and we’ll be working on both fronts. There aren’t a lot of secondary or tertiary doors that we’re not in that we want to be in.
Melissa Otto - W.R. Hambrecht: Great. In terms of the retail opportunities, any ranges in terms of potential doors, maybe 25-50 over the next two years?
Roger Farah: I think it’s a little premature on the retail side, because I want to make sure we have our strategies properly identified, but we will certainly articulate those as they become more clear.
Melissa Otto - W.R. Hambrecht: Fair enough. Thank you so much and congratulations on a great quarter and yearend.
Roger Farah: Thank you, Melissa.
Operator: And our next question comes from Robert Samuels with JP Morgan.
Robert Samuels - JP Morgan: Good morning. Most of my questions have been answered, but can you just comment a little bit more on Rugby, sort of what you’re seeing there? Do you still think that it’s a viable growth chain for you guys?
Roger Farah: Yes, we’ve enjoyed a nice spring with Rugby. We continue to look at unique neighborhoods. And as we have found real estate locations that profile well against the Rugby customer, whether it’s Newberry Street or Greenwich or New Canaan, we get a tremendous reaction from a wide-range of age groups. I mean, it’s all the way from the 15 to 16-year old and their parents. So what we’re getting is a wider range of customers than perhaps we originally anticipated. I think they’re responding to the look of the product and the fit and the price point, and I think we’ll continue to look at what is the right real estate strategy going forward that will build that business to significant scale. Because it’s the only true vertical retail business we have in the Ralph Lauren brand, we don’t have a wholesale business to support the early manufacturing issues of trying to build product for ten or fifteen stores. But we’ve gotten through that and we continue to feel very bullish about its future.
Robert Samuels - JP Morgan: How many new stores will you add this year?
Roger Farah: I think the current play is five.
Robert Samuels - JP Morgan: Great. Thanks.
Roger Farah: You’re welcome. Can we have one last question, Operator?
Operator: Yes, our next question comes from Jennifer Black with Jennifer Black & Associates.
Jennifer Black - Jennifer Black & Associates: Hey, Roger, congratulations. As a followup to the footwear question, I wondered if you could give us your vision as to how large you see the footwear business in the long-term? I know you must have a vision. Thanks.
Roger Farah: We have a vision. That vision question, Jennifer, it sounds like a modeling question to me in sheep’s clothing. Look, it’s a huge business. I mean, I’m telling you what you know. I still have on my desk the shoe you gave me when we visited your offices six years ago on a road show. I just can’t overstate how important the footwear business is to the female shopper; less to the male, but certainly the female shopper. Our strategies, whether it’s a Collection price point or Lauren price point, I think are going to be aimed at identifying that. One of the things we did with the leadership change is split the leadership into two different heads, because the manufacturing/design issues for Collection, the distribution issues for Collection are very different than they are at a Lauren price point. And I think by focusing on those two businesses rather than rolling them all into one leadership, we will effectively capture the opportunities in both. The Collection business should closely marry the distribution of our own Collection, which is our own store, high-end specialty – a Neiman’s or a Bergoff or Harrah’s. And I think the more broad-based price point will marry directly with the distribution we’ve chosen for that apparel. Obviously, that leaves open subjects like footwear for Kohls or footwear for J.C. Penney, but at this point I just think the footwear business is sort of an unlimited opportunity, but I don’t want to scale it for you.
Jennifer Black - Jennifer Black & Associates: Thank you very much and good luck.
Roger Farah: Thanks, Jennifer. Okay, so at this point I appreciate you all staying on a little longer. I know it was a yearend call and it certainly had a lot of new news about the accounting treatments and the amortization treatments for the acquisitions. We’re very excited about where we are and the strategies we’re working on. I think the organization has been energized by our recent success and has fully bought into what we’re trying to accomplish over the next couple of years, and we really do believe ’08, ’09 and ’10, which we recently presented to our board and has been unanimously supported, is a very aggressive plan to move us further into a global positioning at the luxury tier. We look forward to updating you shortly on first quarter earnings in August. Thank you.
Operator: And that concludes today’s teleconference. Thank you for your participation and you may now disconnect.